Operator: Good day ladies and gentleman and welcome to the fourth quarter 2007 Nu Skin earnings conference call. My name is Stacy and I will be your moderator for today. At this time all participants are in a listen-only mode. We will be facilitating a question and answer session towards the end of this conference. (Operator Instructions) I would now like to turn the presentation over to your host for today’s call Mr. Scott Pond, Director of Investor Relations. Please proceed sir.
Scott Pond: We appreciate all of you joining on the call this morning. With us today are Truman Hunt, President and Chief Executive Officer; Ritch Wood, Chief Financial Officer; [Dan Char], President of our Global Sales; and Joe Chang, President of Product Development. During this call comments may be made that include some forward-looking statements. These statements involve risks and uncertainties and actual results may differ materially from those discussed or anticipated. We encourage you to refer to today’s earnings release in our SEC filings for a complete discussion of these risks. In addition during this call certain financial numbers may be discussed that differ from comparable numbers contained in our financial statements. We believe that these non-GAAP financial numbers assist management and investors in evaluating and comparing period to period results of operations in a more meaningful and consistent manner. Please refer to our investor portion of the company’s website at www.NuSkinEnterprises.com for a reconciliation of these non-GAAP numbers. With that I’ll turn the time over to Truman.
M. Truman Hunt: We appreciate you joining us as we report on fourth quarter results and as we look forward into 2008. We are particularly pleased with our recent results and we’re confident that the trends we have seen over the past several months set us up for record results in 2008. As indicated in our press release fourth quarter revenue was $306 million a 6% improvement over the prior year while earnings per share improved 17% to $0.26 when excluding the $0.17 of restructuring charges. Our better than anticipated revenue results came from steady sales growth in most of our markets. We’re especially pleased with the momentum we see building in Europe, South Korea, Southeast Asia and the US. Much of this growth is being driven by our efforts to recharge our personal care business which experienced a 16% year-over-year sales increase. The primary growth driver in our personal care business has been our Galvanic Spa product which generated $20.4 million in revenue for the fourth quarter versus $8.5 million of revenue in the prior year. The Galvanic Spa for those of you who have seen it is an ideal product for direct selling because it’s highly demonstrable and shows an immediate impact on lines and wrinkles and skin texture. In addition the Galvanic Spa’s companion products including face gels and other skin treatments are highly consumable and encourage ongoing consumer purchases. On the nutrition side of the business we’re seeing success with our weight management product offerings which resulted in product sales of $8.5 million during the quarter which is roughly double what the prior year’s results. And we’re really just getting going with the My Victory Product line in the US so at this point most of the growth in weight managements is coming from outside the US. Our growth is also coming from good nuts and bolts business execution, good alignment internally and with the sales force as well as good knowledge sharing by those markets that are growing at the healthiest rates. Our product strategy for 2008 will continue to be focused on anti-aging solution and on demonstrating our difference to consumers. We’ll continue to support key initiatives associated with the Galvanic Spa system as well as with our weight management efforts. In addition we’re very excited with the early results of our efforts to differentiate our product strategy from competitors by focusing not only on products that address the visible signs and agents of aging but now by being the first company to really focus efforts on the significant contributors to the signs of aging. The first manifestation of this strategy will be the 2008 launch of an innovative breakthrough that has been shown to slow the creation of an enzyme in skin called Arnox. This enzyme dramatically escalates the signs of aging of our skin when we reach a certain age. Now you’ve heard us talk about this technology for about the past year and we’re excited to see this innovation come to market in 2008. The pre-launch of our Arnox technology will take place at distributor conventions throughout Asia in the second quarter. This should help drive distributor recruitment and activity in advance of the actual launch of the product in the fall when we offer it for sale in Japan, Greater China, the Americas and Europe. This anti-aging technology is not only a significant milestone for Nu Skin Enterprises but is also an important breakthrough in the skin care category as a whole. Our R&D efforts in nutrition are similarly centered on attacking the sources of aging in the body. In particular Joe Chang and his team of scientists lead the world in the development of products that address glycation in the body. Glycation is the bonding of sugar to protein that takes place throughout our bodies as we age and can lead to many common ailments. We’re developing a line of products to combat this process. Our first product to target glycation will come to market in 2009. So on both sides of the business we’ll distinguish ourselves with a product strategy that will demonstrate a difference to consumers by addressing the sources of aging as opposed to just addressing the signs of aging. It’s important to note that we have significant distributor conventions scheduled in many of our markets during the first and second quarters of 2008. We’ll hold conventions in Southeast Asia and South Korea in March and then follow-up with conventions in Greater China and then Japan in May. These events are always important drivers to the local markets and we would invite any who would like to participate with us in them join us. I also want to highlight the improved geographic diversity we’re gaining as markets such as South Korea, Europe and Southeast Asia become a much more meaningful piece of our global revenue. Each of these markets is now highly relevant to our overall results and insulates us from the effects that a single market can have on our overall results. As most of you recognize the weakening dollar plays in our favor with 86% of our revenue generated outside of the United States. Generally in times of economic slowing our business opportunity which provides distributors with the opportunity to supplement or replace their income becomes more enticing. So we don’t worry too much about the current economic climate. And as all of you know Baby Boomers around the world are now reaching the age of retirement so anti-aging continues to be at the forefront of our aging population’s needs both from an economic and a product perspective. This is why we remain very confident in our positioning. Now touching on a couple of our key markets. Our Japan team continues to focus energy around sponsorship activity and distributor retention programs. Fourth quarter revenue was in line with our expectations and we expect to see continued steady progress throughout 2008. You’ll recall that we have guided Japan to be down approximately 3% for the year with the Yen at 112 to the dollar. In addition we’ve made substantial changes to our business in China. In the fourth quarter we closed roughly two-thirds of our stores in order to focus on the key cities of Shanghai, Guanjo and Beijing. And frankly I was expecting so see some impact on this restructuring to our revenue in January but we were very encouraged with the way our sales force has responded to the changes and our business remained remarkably stable and is even showing signs of growth despite these significant reductions in stores and corporate employees. The receipt of our Beijing direct selling license is a positive step forward and I know some of you are interested in the impact the storms may be having on our business there. We really haven’t seen much of a negative impact so far although the Chinese New Year which just got started has historically had a negative impact on revenue. During the fourth quarter we also made bold moves in our restructuring efforts. The reductions in G&A expenses that we discussed during our Investor Day in November have all been executed. We also completed the $25 million accelerated stock repurchase program that we announced and we’re now working towards our commitment to deliver revenue growth and margin improvement which will combine to improve our earnings per share 35% to 45% in 2008 net of charges. I also want to note that we believe that the conversion of this structure of management equity incentives in 2008 to be performance base and set a nice impact on the motivation of our management team to work aggressively and to work with a sense of urgency. So we’re confident that our plans are in place and that we’re moving forward to deliver strong results. Consequently we want to reiterate the commitments we made in our November presentation which by the way can be found in our Investor website. Our objective and commitments for 2008 include specifically growing revenue by 4%, reversing the Japan decline, successfully restaging our China business, generating a 10.5% operating margin and all of that leads to improving earnings 35% to 45% or to $1.15 to $1.22 per share. I’m confident we have the right people, the right products and the right business opportunity to achieve our objectives. So we look forward to a record performance in 2008. Now let me turn the time over to Ritch to go over the financials.
Ritch N. Wood: Good morning everyone. As you can tell from Truman’s remarks we feel great about the way the fourth quarter came in and we really look forward to a great 2008. Let me just first provide the local currency revenue results in our major markets and then remind you that these can all be found on the Investor section of our corporate web site. For the North Asia region fourth quarter revenue in Japan was 13.4 billion yen compared to 14.1 billion yen in the same quarter of 06, while quarterly revenue in South Korea was 35.6 billion Yuan versus 30.2 billion Yuan in the prior year. In our Greater China region Mainland China revenue was 119 million Renminbi during the quarter versus 132.2 million Renminbi in the prior year. Quarterly revenue in Taiwan was 775 million NT compared against 781 million NT last year. And Hong Kong revenue was 93.8 million Hong Kong dollars compared to 83.6 million Hong Kong dollars during the fourth quarter of 2006. In the Americas the US posted $42.5 million in revenue compared to $39.3 million in the prior year. Latin America reported revenue of $2.3 million essentially even with the prior year and finally in the Europe region fourth quarter revenue was $21.6 million versus $17.7 million in the prior period of 2006. Our gross margin for the quarter was 81.9% slightly below the 82.2% gross margin of the prior year but mostly even sequentially. Our selling expenses as a percent of revenue were 42.9% also even with the prior year period. General and Administrative expenses for the quarter were $89.3 million and then in addition that that we incurred planned restructuring charges of about $17 million. These restructuring charges were slightly higher than our initial estimate and primarily due to higher than anticipated labor reductions around the world. Our management team is truly aligned and unified in our desire to improve operating margin and if successful execution of this phase of our restructuring gives us confidence in our ability to deliver 2008 G&A targets. Excluding restructuring charges taken during the quarter general and administrative expenses as a percent of revenue were 29.2% compared to 30.5% for the same quarter in 2006. We incurred $2.3 million in the other expense line item of our income statement that’s primarily related to interest expense. Our tax rate for the quarter was 44.3%. This tax rate increased due to an additional tax charge of approximately $800,000 or $0.01 per share related to the timing of benefits associated with net operating losses in China and the net operating loss in China was larger during the fourth quarter due to our restructuring charges taken there. As China turns profitable we would anticipate the benefit to be returned to the company. Excluding the impact of this China adjustment our tax rate for the quarter and for the year was approximately 36.6%. So our reported earnings per share - Let me just first of all touch on the item we mentioned in our release which mentions our ongoing review of differed tax assets and liability. We’re finalizing our review of this issue however we don’t anticipate the net accumulative impact over the previous five-year period to exceed $1 million and it will likely be a benefit for that period of time. Our reported earnings per share for the quarter were $0.09. When you add back the $0.17 for restructuring charges our earnings per share for the quarter were $0.26. So considering the additional tax charge and a bit higher interest expense than usual during the quarter we really had a great quarter and look forward to the reduced expenses associated with restructuring efforts beginning to kick in here January 1st. During the quarter we faced $6.8 million in dividends. We bought back $25 million of outstanding stock. We reiterate our guidance for 2008 that is $1.18 billion to $1.2 billion in revenue and earnings per share of $1.15 to $1.22. These estimates reflect a yen rate of approximately 114 to the dollar for the year. The yen is trading a bit stronger than this which could provide some upside to this guidance. We continue to guide gross margin approximately 82.5% for the year. I would anticipate that to show slight improvement throughout the year. This will come somewhat from a price increase which is slated for the second quarter, initiatives set to reduce shipping expenses around the world and some product cost renegotiations related to our Galvanic Spa unit and our G3 product. And we expect distributor incentives to be approximately 43.7% for the year. Again this number should show slight improvement as the year progresses due primarily to lower sales expenses in China as we roll out our new plans there. And finally we expect General and Administrative expenses of approximately $350 million in 2008 that is a approximately $15 million net reduction in the General and Administrative expenses from 2007 which were approximately $365 million. We estimate our tax rate to be in the 37% range in the year consistent with historical averages. For the first quarter of 2008 we are projecting revenue of $281 to $286 million with earnings per share of $0.23 to $0.25. These numbers assume a 112 yen rate to the dollar in the first quarter. So with that we’ll now open the call up for questions.
Operator: (Operator instructions) Your first question comes from line of Kathleen Reid from Stanford Financial. Please proceed.
Kathleen Reid – Stanford Financial: Can you talk a little bit more about the improved sequential result in Japan. I know it was in line with what you had thought in November but just how some of the new initiatives put in place by your management change there have been going and what kind of positive momentum we have carrying forward in addition to the Arnox product launching at the convention in the first quarter. But just more specific on what’s going on in Japan?
Ritch N. Wood: Kathy, you’ll recall in our November presentation we presented some segmentation information that showed how we basically segment our sales force and highlighted the fact that we believe that part of our problem in Japan, if not a majority of our problem in Japan, has been the fact that over the past several years our management team has focused primarily on product related incentives to try to drive the business forward and to grow the business and our evaluation of the market and what we really need to do to rekindle growth in that market. We have concluded that we need to rebalance the scales of our promotional efforts between business promotions which provide incentives for recruiting and sponsorship leadership creation which is really the most potent component of the fuel that propels our business along with continued product promotions to some extent. The initial efforts to do that have shown good results and we have parachuted an ex pat from Provo into Tokyo who is a very big contributor in that process and is really helping our management team there focus on business drivers as well as product drivers to the business. With our May convention that’s coming up we will continue that effort but we’ll also be introducing into the market not only the Arnox product that we mentioned but we’re also launching Lifepak now at our main convention which is a very healthy selling product here in the United States and we think that that will also have a good impact on growth in 2008. Do you want to add anything to that Dan?
Dan Char: I would just maybe make on other comment, Kathy, as you look at the year and as it goes forward, we had a convention in the first quarter of last year in Japan which probably pushed a little bit of additional sales into the quarter so I think as a comparable you know we’d expect our trend to be consistent sequentially on a year-over-year basis and then begin to improve as we roll out the convention in the second quarter and then continue to improve throughout the year.
Kathleen Reid – Stanford Financial: I’m sorry just to understand what you just said, you think sales could be down a little bit more in the first quarter for Japan from the down 5 in the fourth quarter just because you have a tougher comparison?
Dan Char: Yeah, I’d say fairly consistent actually down somewhere in the 5% but then we’ve guided it down 3% for the year which we continue to feel good about.
Kathleen Reid – Stanford Financial: Okay and in China sales, at least from your press release, were down 10% in your fourth quarter in China and that seems to be a bit of a reversal from the positive trend in the third quarter. Is that largely due to all the restructuring and kind of the disruption with store closures, etcetera? And can you just comment a little bit more about what you’re seeing in January and when you re-launch your whole new hybrid model in China?
Ritch N. Wood: Yeah, Kathy, the we’re actually really pleased with the results we’ve seen over the last couple of months with all of the restructuring that’s gone on there including closing two-thirds of our stores and shedding about 550 people in headcount. I actually thought we’d see more impact to the business than we have. And what was particularly encouraging was that January was a very strong month in China and as I indicated in my remarks we’re seeing healthy signs of growth there. So we’re really pleased with key indicators in China right now.
Kathleen Reid – Stanford Financial: And when do you re-launch your model, the hybrid model?
Dan Char: Well in the fourth quarter we made a couple of changes including the one we referenced at the investor meeting in November which was to change our early employment from traditional Chinese employment with an employment contract to a service contract. So that portion of it is now in place and then we’re also making a couple of changes, well one significant change, in the first quarter which will really allow our early sales representatives to be more effective in recruiting new sales representatives in terms of the way they qualify to advance in the sales representative ranks. Other than that we have some other things that we will be evolving to but we’re going to hold at that point until we feel like we start to see the impact of those first two changes I mentioned. So other changes will be pending the positive results that we anticipate coming.
Kathleen Reid – Stanford Financial: Okay Ritch can you - sorry last question can you break out interest expense from other expense and why the interest expense was up so much year-over-year?
Ritch N. Wood: Yeah, our FX gain was essentially zero for the quarter and so it was primarily all interest expense. We had a couple of short-term loans that we took out in Korea particularly as we moved into a new building and had to put up some key money and things which caused interest expense a little bit higher than normally, probably about $500,000 higher for the quarter than we’d anticipate in a normal quarter.
Operator: Your next question comes from the line of Olivia Tongue with Merrill Lynch. Please proceed.
Olivia Tong – Merrill Lynch: Can you please tell us what the debt levels were for December 07?
Ritch N. Wood: Yeah, our debt at the end of the year was right about $200 million.
Olivia Tong – Merrill Lynch: Okay. Got it and then restructuring coming in a little bit higher, was it that you had more reductions or was it more that the reductions cost more than you had anticipated?
Ritch N. Wood: We actually had more reductions. In Japan we had more, in Taiwan we had a little bit more we were able to go a little further than we had initially anticipated in China and then also here in the US. I think when we gave the initial guidance it was prior to us having the management incentive in place and I think the fact that our management is really motivated to push forward allowed them or kind of facilitated them pushing a little harder to get a little further than what they had initially guided us to.
Olivia Tong – Merrill Lynch: And then on the US, obviously you had a convention last quarter which is going to drive up the results but even ex convention you are up 17 and this quarter you are up 8 and I would have assumed that with the introduction of the new weight management products and other things that we would have not seen as significant deceleration when apples-to-apples excluding the convention. Are you surprised by how much results decelerated on what looks to be an easier comp or is there anything else that you can provide color on that?
M. Truman Hunt: Yeah, it’s true we had a very strong third quarter, Olivia. I would attribute the fourth quarter to a couple of things. Number one is we see a lot of transitions frankly going on right now as distributors who have led their business use the Galvanic Spa are capturing more and more recruits and so we tend to see a little bit of shift in Pharmanex focus to Galvanic Spa focus which probably accounts for a little bit of that deceleration. But to tell you the truth, again looking at key indicators including sponsoring even after the fourth quarter we’re seeing very healthy trends in the United States so I wouldn’t signal the deceleration in the revenue growth rate as really a deceleration in the US business quite yet because sponsoring is still very strong.
Ritch N. Wood: I might just add one other comment, Olivia. In the fourth quarter of 2006 we actually held a fairly good event that that draws some energy so you’ll notice if you go back to 06 there was quite an increase from the Q3 to the Q4. So I think it’s a little bit more difficult comparison. Secondly we’ve guided the Americas to be up somewhere around 10% this year. You know our strategy grid - without taking out convention which fluctuates a little bit - our strategy grid has us at about 11% for the Americas. We feel very good about that number. So as we go forward we feel like we’re on track to be at least 11% or slightly ahead as we go throughout the year.
Olivia Tong – Merrill Lynch: Great and then just lastly I want to talk a little bit about supervisor growth. Do you consider - and you know we always go back and forth on this - but do you consider the growth and active and executive distributors to be a leading or a lagging indicator as far as sales growth?
Ritch N. Wood: That is a good question. We watch it carefully as we go from market to market. Generally it takes a few months for an executive to actually become an executive. They go through a process that breaks. The number that ties most closely with our revenue, our growth rate in revenue and so forth, is our executive number. Active sometimes can be a little bit more possibly of a leading indicator as we see sponsorship rate sometimes accelerate prior to those folks becoming executives. So I think it differs a little bit situation by situation. But generally I think executives tie most closely to revenue and actives could be potentially a bit of a leading indicator.
Operator: Your next question comes from the line of [Sedgwick Bosh] with Canaccord Adams. Please proceed.
[Sedgwick Bosh] – Canaccord Adams: I just have a trying to get a little bit more color on the US market. I was wondering if you could give me some more details on the product mix between the personal care and nutrition segments? I guess I’d like to know what products are selling well and have you seen any change with the softer consumer?
Ritch N. Wood: Yeah. Just to give a little bit of detail on the product mix, we were approximately 70/30 split between personal care and nutrition. That shifted a little bit over the past year as Galvanic Spa and other new skin initiatives have taken off. We actually had a growth rate of approximately 50% in the new skin business in the fourth quarter, while the Pharmanex growth was just very slightly ahead of the prior year. So we are seeing a bit of a shift from I would say Pharmanex over to personal care although Pharmanex with the launch of White Management which really kind of kicked off the beginning of this year we would expect to continue to hold strong. In terms of the consumer, we haven’t noticed at this point in time an impact based on consumption and generally, as Truman mentioned in his script, the opportunity side of our business seems to kick in when there’s some economic distress and people are a little bit more motivated to supplement or replace their income through a business opportunity so we continue to feel good about the business opportunity and have not seen negative impact on the consumer side in the US at this point.
[Sedgwick Bosh] – Canaccord Adams: Okay and there’s been a lot of publicity about antioxidants uses and I was just wondering if you could talk a bit about the trends with your Q3 products?
Joseph N. Chang: Regarding the use obviously there are quite a few start-ups even in our area here on opportunities for this thing on the juice. Our G3 is holding up fairly well because with the help with the biophotonic scanner this juice is the only one in the market where we can actually demonstrate the benefits of the G3 with our biophotonic scanner. So the scanner itself is playing a very vital role in helping us differentiate our G3 from the rest of the other herd. In product development we are also focusing on the next generation juice but right now G3 is holding up very well, not just in the United States but in all the other foreign markets as well. We are switching over to a larger volume bottle, if you will, which will also result in some cost savings and we’re going to globalize and make a universal bottle for all our foreign markets as well. So with that launch coming over in the next six months we feel that our G3 will get some of our margins back, if you will, on that particular product.
[Sedgwick Bosh] – Canaccord Adams: And I’m not sure if you but what was the auto fulfillment rate fourth quarter?
M. Truman Hunt: It was approximately 50% of sales.
Operator: (Operator instructions) Your next question comes from the line of Amy Green with Avondale Partners. Please proceed.
Amy Green – Avondale Partners: Just wondered if you could give us some idea, if you where to look at the operating margin improvements that you’ve guided to, how much of it would you estimate is actually contractual versus kind of a benefit from sales leverage?
Ritch N. Wood: I didn’t quite catch that, Amy. Sorry you were breaking up. What I think I caught was a question about operating margin and the impact of FX. Was that right?
Amy Green – Avondale Partners: No. I’m trying to figure out if you can quantify how much of it is contractual from the manufacturing contracts and freight contracts, how much of that improvement is something that’s easily locked in versus something that’s a sales leverage gain?
Ritch N. Wood: Are you talking about our gross margin?
Amy Green – Avondale Partners: Primarily gross, yeah.
Ritch N. Wood: Okay. Let me just actually walk through the income statement a little bit. On our gross margin there are really two or three key initiatives that we have in place to improve our margin there. One is some savings in freight, we’re targeting about $3 million saving in freight. About $2 million of that was some contract changes and differences in the way we ship our products in the US. That contract was signed and actually initiated in December so that should be in place. We’re also targeting a reduction in our air freight expenses from around $3.3 million in 2007 to about $2 million in 2008 so another $1 million of savings there. We anticipate a global price increase in which we think will add somewhere between 15 and 20 basis points to our margin. That should be implemented in the second quarter of this year. Jumping down to our operating costs, you know our General and Administrative costs, last year they were about $365 million so our restructuring efforts should bring that $365 million down to $350 million, so $15 million net savings or approximately $0.15 for the year per share. And then in addition to that we would anticipate with our guidance revenue improvement of somewhere around $40 to $50 million. And on actually a reduced overhead expense level you can kind of compute the impact. We have about a 40% contribution margin, after distributor incentives and costs of sales. So 40% on that additional $40 million of revenue, let’s say would be another $16 million of essentially profit or another $0.16. So you can see that those numbers add up to what we’ve guided to which gets back to the 35% to the 40% increase in earnings per share in 2008.
Operator: Your next question comes from the line of Olivia Tong with Merrill Lynch. Please proceed.
Olivia Tong – Merrill Lynch: Hi just two follow-ups. First what are you taking pricing on?
Ritch N. Wood: What are we taking pricing on?
Olivia Tong – Merrill Lynch: What products?
Ritch N. Wood: Oh. It depends a little bit by market. It’s a global price increase. Again the average price increase will be right around 2% but it’ll be mostly across the board targeted to some of our key products primarily that have room, those that we feel have a little bit more room obviously will get a little bit higher price increase. But generally it’s pretty much across the board.
Olivia Tongue – Merrill Lynch: Then the gross margin being down year-over-year and in Q4, what were the drivers in that?
Ritch N. Wood: You know there are two primary drivers. One happened to do with some increased freight expense. The other, which we’ve kind of had throughout the year in 2007, the other just kind of relates to some product shift, we’ve had Japan which is our highest gross margin country is down a little bit, the US does not have quite as high of gross margins and sales there have grown a little bit. Also a little bit of a shift between product categories. The Galvanic Spa has typically had a little bit lower margins than our overall personal care line and it’s actually been one of the key growth drivers. So we’ve renegotiated that contract and pulled some costs out of the units with increased volumes here and so that should also help to push a little bit of improvement in our gross margin as it relates to the Galvanic Spa.
Olivia Tong – Merrill Lynch: And then just one other question. Can you remind me what is the tax rate for Q4 when you exclude the charges?
Ritch N. Wood: 36.6%. There was an $800,000 tax charge associated just with the fourth quarter so both the year and the quarter come in at approximately 36.6%, excluding that one charge.
Operator: We have a follow-up question from the line of Kathleen Reid with Stanford Financial. Please proceed.
Kathleen Reid – Stanford Financial: Can you talk a little bit about your further expansion plans for China and just to make sure it doesn’t sound like nothing’s being put on hold with China so your roll out of your hybrid model is still on track if I understand that right. And just if you could update on other cities or provinces that you’re targeting for expansion and what your revenue estimate for China is for 08?
Dan Char: Our expansion plans have not changed per se. I think as we mentioned earlier we’ve changed our strategy slightly as we’ve recognized our ability to focus and expand without necessarily using stores as the anchor for our business expansion. We’re now licensed to conduct direct-selling activities in Beijing and around Shanghai. Our next focus is on Guangdong Province so those three together make up the majority of our volume but we’ll continue to grow our business and to develop our business in the areas where we’ve previously had stores despite having a reduced number of stores. I’ll let Ritch give you the projections for China.
Ritch N. Wood: Yes. I think we guided to a flat year just because China is really difficult to project out what’s happened. So we’ve tried to be conservative, guided that would expect 2008 to be flat with 2007 but certainly that is not the target of our management team and the focus of what we think China has in terms of potential.
Kathleen Reid – Stanford Financial: Can you just give us an update on the manufacturing facilities that I think are now up and running in China?. I think one is up and running and there is another new one expected to come on line?
Ritch N. Wood: We continue to do all of our manufacturing for our China operations. We have two primary manufacturing facilities - a nutrition manufacturing facility and a personal care. We continue to look at opportunities to potentially reduce costs by manufacturing there for export to some other markets. But that process is moving fairly slow right now with a lot of issues related out there to China manufacturing and so forth. So we continue to explore opportunities but wouldn’t plan on anything in the near future in terms of benefit or savings associated with China production.
Kathleen Reid – Stanford Financial: Then can you just talk about when the My Victory rolls out to other markets internationally?
Joseph N. Chang: As we have reported to you that in the foreign markets particularly in Asia, Southeast Asia, Taiwan and Hong Kong, they already have a weight management system called TRA, The Right Approach to weight management and they’re doing fairly well and becoming successful with sponsoring, consumption and so on with that particular weight management system. What we are trying to do strategically is then to see whether we can insert some of the components and features of My Victory into that TRA system. Because, since it’s working so well for us in Southeast Asia and other Asian markets, we don’t want to force the My Victory onto them prematurely because that will disrupt the sponsoring activity, as you heard from Truman and Ritch, that we are successfully been holding with TRA so some of the features of My Victory will be rolled out over the next 12 months but not all the features.
Kathleen Reid – Stanford Financial: And then just last question. If you can comment on how much you have left of share repurchase and what your priorities are for uses of cash?
Ritch N. Wood: Yeah, when we did the increase, I guess it was back last summer, or I guess about October, we increased to $114 million. We then used $25 million in our accelerated stock repurchase program that we did in November. So that leaves us $90 million remaining. We would anticipate that free cash flow during 2008 after paying that debt and dividends would be employed to repurchase stock. And based on the numbers we’ve kind of guided to that’s somewhere in the range of $25 to $40 million. And so we would anticipate that probably coming in a little bit more later in the year since we just kind of went through $25 million right off. I would imagine it would be more active in the market later on in 2008 as compared to early on.
Kathleen Reid – Stanford Financial: And sorry, one really quick housekeeping, that nice detailed spread sheet, when will that post to your website?
Ritch N. Wood: It may be posted now. It posted this morning. If it’s not up right now it will be very soon. Scott will be sending that out to you as well, Kathy.
Kathleen Reid – Stanford Financial:
Operator: With no more further questions in the queue, I’d like to turn the presentation over to Mr. Truman Hunt for closing remarks.
M. Truman Hunt: Well we just thank you all again today for joining us. We’re off to a great start in 2008 and look forward to making this a record year for Nu Skin Enterprises. Please give us a call if you have any other questions.
Operator: Thank you for your participation in today’s conference. This concludes your presentation. You may now disconnect and have a good day.